Prit Singh: Hello everyone, welcome to the FansUnite Investor Webinar. My name is Prit Singh, and I will be the moderator for today's call. For those that are unfamiliar with FansUnite, FansUnite is a leading B2B and B2C iGaming Solutions provider. The company trades on the Canadian Securities Exchange in Canada under the ticker FANS, F-A-N-S, and on the OTCQX under the ticker, FUNFF, F-U-N-F-F. Before we begin, I would like everyone to take a quick review of the legal disclaimers. On today's call, we will be covering FansUnite's Q1 2022 financial and operational highlights and its growth outlook for the remainder of 2022. Towards the end of the webinar, we will be hosting a Q&A session. If you have any questions during the webinar, feel free to send them in using the Zoom Q&A function at the bottom of your screen. If you are calling in today, please email your questions directly to IR at fansunite.com. Again, that is IR at fansunite.com. We will address these questions at the end of the presentation during the Q&A session. Our presenters today will be the CEO of FansUnite, Scott Burton, President of FansUnite, Darius Eghdami, and CFO of FansUnite, Graeme Moore. I will now turn the conference over to Graeme Moore, CFO of FansUnite to discuss the company's Q1 2022 financial results.
Graeme Moore: Thank you, Prit. In the first quarter of fiscal 2022 FansUnite set a new quarterly revenue record generating roughly $9.67 million of revenue, which is up 804% as compared to the $1.07 million that we generated in Q1 of 2021. The significant revenue growth was primarily driven by the acquisition of American Affiliate in November 2021, as well as our B2C segment, most notably McBookie operations. The remaining revenue was generated from MoneyLine's Sports, the sports betting site that licenses our Chameleon iGaming Platform, which mark the official launch of FansUnite's B2B operations. Roughly 88% of the company's total revenue was generated from the recently acquired American Affiliate. And that engages and educates new customers to register deposit and bet on the mobile sportsbooks of many major licensed iGaming operators in the U.S., realizing gross margins of 63% on our affiliate revenue. This increase in revenue was a result of one of the busiest quarters for North American Sports and American Affiliate expansion to new states such as New York, which launched in January 2022. Revenue from McBookie, which represents approximately 12% of total revenue, increased by 15% compared to Q1 fiscal 2021 for their best revenue quarter in their history. This is largely due to an increase in Sportsbook hold as a result of our trading team effort to manage our risk exposure more efficiently. Our company also added operational expertise to McBookie to improve organic sales channels, which included social media, search engine optimization, targeted email campaigns and paid marketing campaigns, which also led to the increase in revenue. Gross margin for the quarter ended March 31, 2022 was 61%, up from 51% in Q1, 2021. Another way to say that is, cost of sales as a percentage of revenues decreased to 39% as compared to 49% in 2021. This is due largely to the fact that American Affiliate operated for a full quarter in 2022 realizing gross margins of 63% on its Affiliate revenue, as well as do the scalability of McBookie's contract with their current licensed provider. We generated positive cash flow from operations for the first time in our company's history. Cash flow from operations was over $531,000 in Q1, 2022, as opposed to negative cash flow of $2.15 million in Q1 2021. The positive cash flows from operations was largely driven by the activities of American Affiliate, which offset the company's spending on its technology, spending that management believes is crucial to achieve our accelerated growth plans and realize the full potential of our Chameleon Platform. We recorded a net loss of $9.17 million in Q1 2022. However, it's worth noting that this includes non-cash expenses of $10.31 million, and compares to a net loss of $2.49 million over the same period last year, which carried $720,000 of non-cash expenses. In Q1, 2022 non-cash expenses related to amortization of intangible assets increased to $5.2 million as compared to $443,000 in 2021, and share based payments increased to $1.86 million as compared to $263,000 in 2021. These were tied largely to intangible assets acquired in acquisitions, and stock options awarded to employees. The main operational expenses were salaries and wages, which increased to $3.3 million, as compared to $842,000 in Q1 2021, which is a direct result of our increase in headcount. The company increased it headcount to 111 people as at March 31 2022, and the majority of these new hires were attributable to the American Affiliate and B2B segment, which compares to 28 employees as of March 31, 2021. The other driver was general and administrative costs, which increased to $1.2 million as compared to $342,000 in 2021. Again, this is largely due to the acquisition of American Affiliate, as well as ancillary costs associated with increased headcount. These expenses were offset by the change in foreign exchange rates having favorable impact on the foreign denominated liabilities of the company. As of March 31, 2022, the company had net working capital of $13.6 million, compared with $14.9 million as of December 31, 2021. This decrease is largely due to our total current assets decreasing to $18 million on March 31, as compared to $22.3 million at December 31. As we settled net working capital adjustments owing to the vendors of American Affiliate, and an increase in salaries expenses associated with the aforementioned increase in headcount. However, this was offset by an increase of approximately $1 million in accounts receivable as well as the positive operational cash flows that we've mentioned previously. At March 31, 2022, the company had a strong financial position of $8.2 million in cash on hand. And although this decreased by $5.78 million as compared to December 2021, the change is largely due to again the aforementioned remaining working capital adjustment that was settled in January 2022, to the vendors of American Affiliate, as well as the salary expense associated with a previously mentioned increase in headcount. That's all for the financial update on FansUnite. And I'll turn the call over to Scott Burton, CEO.
Scott Burton: Thanks, Graeme. Yes, I just wanted to say thanks, everyone for attending. And I guess talk again about how happy we are with the Q1 results that we had cash flow positive, strong working capital is great news for the business going forward. So I'll review some of the highlights for the quarter and then we'll move on to the Q&A that Prit will be moderating. To start, we continue to build out the executive team. We added Dennis Williams is our new Payments Director. Dennis previously worked at the British Columbia Lottery Corporation serving as the Senior Payment Specialist at the BCLC. So the BCLC is the only licensed provider of casinos, lottery products and online gambling in BC. So payments continue to be one of the most challenging aspects of running an online gaming operation. So the addition of Dennis to the senior level team helps ensure that all our gaming payments solutions across FansUnite, full suite of companies, including the McBookie, Vamos, and the company's white label partners like Money Line will all continue to run smoothly. And we can minimize any disruptions we have from the changing payment landscape as it does all the time. In Brazil, VamosGG continues to scale its operations following the launch of the VamosGG Cup, which was a two days CS:GO tournament. Other than the tournament, we have not spent aggressively yet on marketing and acquisition. But all the pieces are in place now. We're seeing good traction coming in the user base. And we're in discussions with some local partners that will ramp up the acquisition on that front. In order to increase the lifetime value of the users and get the most on any acquisition spend, we wanted to enhance the offering and bring traditional sports betting and casino into the site. It was initially an Esports first and only brand. So that work is now being completed. So we have the traditional sports and casino into the site now. So we've been encouraged by the organic growth since the Cup. Its over 10,000 registered users. And with the addition of more products and spend, we look to see meaningful revenue growth this year with Vamos. As many of you know, Ontario opened up their previously closed market to hotel operators on April 4, 2022. So we're already seeing most of the big players in the industry such as DraftKings and MGM and Caesars getting into the marketplace. And I think we're approaching 20 Live groups they are now. So we received our license approval in the first quarter. So that's as a supplier into the Ontario market. We know there's, still a number of operators quite a few still to come into the market. So similar to our U.S. expansion strategy, we decided that we won't be operator, an operator of a B2C site in Ontario, but are in discussions to provide software to operators that are looking to get into the province. So for B2B operations, as Graeme mentioned, Money Line Sports which is powered by our chameleon platform, launched in Europe in the first quarter excited to have our first customer live using the Malta license and look forward to seeing them gain traction, and we look to add more EU partners off the back of the Money Line deal. And then subsequent sorry, subsequent to Q1, we announced that we have signed a memorandum of understanding with Dragon Bet to enter the U.K. market with a product tailored to Welsh betters. So this is the same approach McBookie has used successfully for Scotland. We're working side-by-side with Dragon Bet to execute their vision on what a Welsh bookmaking site should look like. I'll include all of our products. Overall, we're growing our presence in the U.K. and overseas markets and excited to get a foothold in more countries with B2B partnerships. And we will be focused on securing more of these in the remaining year and hopefully be able to announce a couple in short order here. So also in Q1, we announced that FansUnite had been shortlisted for a number of award categories at the EGR North American Awards, namely full service platform provider, affiliate of the year acquisition and retention partner, customer on-boarding partner and diversity inclusion model. So I think it attests to some of the milestones we've been able to hit at FansUnite and show some of our advanced gaming solutions and where they sit against our competitors. And you know, as a provider of leading betting affiliate marketing services that came off the back of the American affiliate acquisition. So before we move on to the American affiliates operations, I just want to say that, you know, we're very, very optimistic about the U.S. betting industry. And that was a big reason for that acquisition. Michigan online casinos have set new revenue record in April. They're approaching the New Jersey numbers as the biggest online gambling state. New states continue to move sports betting bills forward, and we're looking at the U.S. online gambling industry as one that's probably the biggest growing regulated market in the world. And momentum has remained robust, and we look forward to seeing top line growth opportunities for the rest of the year with our affiliate business. Since the acquisition of American Affiliate, we've begun to realize the synergy between the 2 groups, and have had one of our busiest quarters or our busiest quarter ever. We maintain the strategic focus on leveraging American Affiliate to expand into the U.S. We along with them continue to innovate and improve the media content for the customers, both entertainment and education. As we believe that it's critical for the future growth and ongoing success in a busy marketplace like the affiliate world in the U.S. We saw two major sporting events in the first quarter that was seen by millions of North Americans, namely the Super Bowl and March Madness, you know, and American Affiliate was expanding its operations by entering new marketplaces across the U.S., including New York, Louisiana, Maryland, that helped result in significant growth for their customer acquisition services. A few highlights over the three days before the Superbowl Sunday and through a Superbowl. They registered over 6,500 new depositing customers for its Sportsbook partners that generated over 1.75 million in the U.S. in first time deposits. American Affiliates set new company records as it averaged over one new deposit and customer per minute during the first two weekends of the March Madness tournament. They generated over 1.8 million from its betting affiliate network operating at 30% plus gross margins. These stats highlight the growing number of active sports betters and betting activity across the U.S. and I think cements American Affiliate as one of the leading affiliates in terms of driving first time depositors so you know very excited to continue to see them grow as the as the states open up in the U.S.  And then lastly, McBookie continues to demonstrate strong growth in Q1. Its quarterly revenue increased by 15% year-over-year to approximately $1.3 million is Graeme mentioned, despite the U.K. marketplace being highly saturated. With many betting operators, they achieved a second best monthly record in January. That's in their tenure history. They produced a combined gross win of 465,000 Canadian across sportsbook and casino. So does that conclude just the Q1 review and before we go to Q&A, you know, despite current market conditions, in terms of the stocks and what's going on in growth in the betting sector, we're confident in the strategy we have where we expect to be deliver strong value going forward as we add more B2B deals and see continued success on the affiliate business. Near term we're focused on the core assets, we have increasing revenue and all of those managing costs and then looking to preserve some cash while we wait for the markets to rebound. So I will end there and as Prit to step in with the Q&A part.
A -Prit Singh: Perfect. So as mentioned at the top of the call for our attendees today, if you do have any questions, you can submit them to the Q&A function at the bottom of your zoom screen. Alternatively, if you're calling in today, please do email us at ir@fansunite.com. If you want to put that back up, ir@fansunite.com with that other way, let's get started? So Graeme for yourself FansUnite has demonstrated strong sales growth in Q1, 2022 while generating a gross margin of 61%. Can you tell us more about how the company was able to achieve significant revenue growth despite the recent macroeconomic challenges?
Graeme Moore: Yes, Brett I think this really speaks honestly to the resilience of our American Affiliate business. Prior to our acquisition of them in November 2021, AmAff was able to grow to become the largest life activation affiliate business in the U.S. while being profitable, despite as everybody here I'm sure remembers, and near complete shutdown in the U.S. due to COVID. So we really believe that new states will continue to legalize online sports betting casino, poker, all of which AmAff will activate on behalf of partners. Whether the macroeconomic outlook is amazing or challenging, and when they do, our team will be there to help residents of that state. Sign up for the newly regulated gambling products.
Prit Singh: Okay, thank you. As a follow up to that question, what are FansUnite plans to further increase its gross margins in the future?
Graeme Moore: Yes, this was our first full quarter with AmAff. So despite the seasonality of the sports calendar, which Scott mentioned with Super Bowl and March Madness is obviously a great quarter to have your first full quarter with AmAff but we do plan to integrate them with our operations further and realize more synergies as we help each other on both sides of the border. We also plan to move McBookie to our Chameleon platform in 2022. And believe that will lead to an increase in their gross margin as we move away from a white label agreement and into our direct cost model.
Prit Singh: Next question FansUnite has generated positive cash flow from its operations in Q1, 2022 for the first time in the company's history. Can you tell us what are the key drivers have left this outcome?
Graeme Moore: Yes I think honestly, the biggest factor the first two things that I mentioned right there, if you increase your revenue and maintain a strong gross margin, you got a pretty good formula for, you know, positive operational cash flow. And so I think our plan is to keep doing what we've done in Q1. Keep being prudent as far as our spend you know, having three accountants if you go back to our BIOS, we are pretty prudent people as far as spend. And so as long as we keep doing those things, our plan is to you know, keep generating positive cash flows.
Prit Singh: Next question on American Affiliate, the first quarter of 2022 was a busy period for North American Sports due to major sporting events such as NCAA, March Madness, and Super Bowl as well as the regular seasons of sport franchises, including the NBA and the NFL. How have these sporting events contributor to American Affiliate's operations maybe Darius if you could address that?
Darius Eghdami: Yes I can jump in there you know obviously those are those are key drivers for us in Q1 as Scott and Graeme and yourself have both mentioned, those are the two of the largest sporting events in the world, let alone the U.S. So those are key drivers for us in the U.S., we're able to deploy our teams across the state across the country. And now here in Q2, we have the NBA Finals coming up as well, which will look to deploy across all our broad networks and stadiums and casinos.
Prit Singh: Okay, and as a follow-up to that, with the remainder of 2022 also being a busy period for North American Sports, do you expect to see several spikes and betting activity throughout the year?
Darius Eghdami: Yes, definitely sports in the U.S. is seasonal as we've mentioned, with Q1 being big Q2 and Q3, a little bit quieter with the NBA season wrapping up NHL wrapping up, but we do have the MLB going on throughout the summer. And I think the next you know real big spike will come when the NFL season starts. We have four months of the NFL season coming up later this year, which hopefully will be our biggest quarter.
Prit Singh: In Q1 American Affiliate expanded its operations pardon me to New York, Maryland and Louisiana. Can you provide us with more insight as to what the betting landscape looks like across the states and how AmAff has performed operationally in these states?
Graeme Moore: Yes, absolutely I mean, when these states open up, we are ready to go and this months of planning before the state opens up so that we can operate on day one. And I think that's one of the really cool things about American Affiliate and the U.S. market is not only are they growing their business, you know what I would say internally, just by you know, attracting more, you know, partners and more new depositing customers. But just the overall U.S. market and the landscape of how new states and new jurisdictions are legalizing online sports betting and casino and poker, just our overall total addressable market also grows. So as the states, you know, 3, 4, 5 open up every year, we get to attack a new demographic. So we're growing both internally, as well as externally with just macro events across the U.S.
Prit Singh: Perfect, so in terms of opening up more states, as a follow-up, does American Affiliates have any plans to enter Ontario's iGaming market given that it is easier for a betting affiliate business to obtain state licenses compared to a betting operator/supplier?
Graeme Moore: Yes, we've already begun that process and setting up here in Canada or Ontario really, and I expect a much larger approach coming in September for the NFL season.
Prit Singh: Okay, great so moving on to the B2B and the B2C operations at the beginning of the year Money Line's Sports launched its online Sportsbook, which is powered by FansUnite Chameleon iGgaming platform. Can you tell us more about what traction Money Line's sports has garnered and how it has contributed to FansUnite B2B revenues?
Scott Burton: Yes, I'll jump in Chris yes Money Line is still early days for them. And as a white label partner, we don't report their numbers. So we are still seeing some early growth there but mostly what we budgeted in for the initial of any new partner launch is the revenue we'll get will be the monthly minimum guarantees so we get recurring guaranteed monthly revenue. And then as we move towards the second year of the deal is when we start to expect. We'll see more contribution from them on the revenue share side so we make sure we have enough built in on monthly minimums for any partners and then we have that upside as they grow so happy with the launch. It's been a good showcase and brought in some other interested parties looking for EU licenses. So yes, we'll give updates as we go, but early days were pretty good.
Prit Singh: Okay great, earlier this year, FansUnite signed and MOU to enter into a licensing agreement with a renowned Welsh bookmaker Dragon Bet, can you tell us more about them and why they chose to license FansUnite Chameleon iGgaming platform?
Graeme Moore: Yes so the MOU is just moved to a definitive agreement just on the final page of I guess final red lines and reviews of that which should be signed any day now. And Dragon Bet is the Lovell Brothers who came to us after quite a long search of other providers of B2B platforms like Chameleon. So Welsh are very well known family in Wales when it comes to the betting industry. Both sports betting but a long history in horse racing as well so the father started the business the bookmaking business. The two brothers have grown up in the industry and are well-known themselves. They see that they were heavy more on the retail side of things. So no online presence previously. COVID kind of changed their business quite a lot. So they decided to make the move to take their name and their brand to an online space and do something very similar to McBookie. So, I think people asked, why they chose us in the end, because they do have a lot of experience in the industry. And they did look at a lot of platforms. So, they were actually about to sign with a competing, larger platform when they got introduced to us. And we spent quite a bit of time talking to them, walking them through what we have in terms of features and flexibility and support we can provide to a brand like theirs. And ultimately, it was a lot of those things that showed them the advantage of going with us especially when you want to be a niche operator like they want to be in Wales and do something very similar to McBookie. So, having McBookie in the portfolio helped a lot, because our directors that are Paul and Damian have actually spent quite a bit of time now with the Lovell Brothers in helping them sort of build out their strategy around going to market and how do you really have an authentic brand, which we think is one way to be successful in the UK highly competitive market. And so things we can do for them that that other ones, maybe not be able to. One is customization of front end. But really tailoring the sports offering to Welsh sports. We have the ability and trading tools and team to support it, where we can trade every level of Welsh football, soccer, for example, similar to what we can do with McBookie. And that's something not everyone can offer. But it's something you're going to have to have if you're trying to do what they want to do. So, it was a great win for us. Because again, they know the industry, they know the space, they're well known group. And this was really one of the first examples that we can publicly show where we won business from one of the incumbents.
Prit Singh: Perfect. Thank you for that. Next question, does FansUnite plan to secure more B2D deals for Chameleon betting solution globally, namely, in North America and Europe?
Scott Burton: Yes, absolutely. Some of these discussions take quite some time. Dragon Bet, for example, was a number of months. We have some other ones that have been going on longer than that. But absolutely, we will be announcing more B2D deals. And I expected that North American might be the next one that we're able to announce.
Prit Singh: Okay, perfect. So moving on to the games, in addition to the Chameleon Platform, can you please provide an update on Askott Games?
Scott Burton: Yes, I will. I think we've got a slide two that I can probably pop-up while I talk about it.
Prit Singh: Sure.
Scott Burton: This one is just a quick overview. And this just to remind people, that we're really building a games company that is serving this new generation of mobile users to kind of get the games in any format, in any space people want. So they're all delivered HTML5 work on any device, fully responsive, so as you can play, as you see their landscape portrait, and multiple testing environments. If we jump to the, there's one more slide that will have a real, we'll show later. But through the full updates, I know people have been anxiously awaiting this. And so, we would have wanted to be, I guess, farther along on the revenue generation from these than we currently are. But we made some decisions last year, which ultimately have helped us and will set us up well for the future. We knew we wanted to bring in someone who could lead this part of the business, because we think it will be significant piece. And we got Mike Lee last year. And Mike had led a studio, a game studio with over 150 games. He's been in the industry for decades, and took that studio to a successful exit. He could have probably gone to any large group out in the space, but sat down with us, we showed him kind of the vision we had for this part of the business, the concepts we already had and where we want to go, which is really kind of a next generation gaming studio. And he got very excited and like what we were doing. So we got Mike on board, which was a big win for us and something we needed. Part of that we let Mike. He made sure that he was able to go back and look at the entire games portfolio. He wanted to make some improvements to the existing games. So we still have the same portfolio and suite that we were going to have, but we let him go and do some changes to some of the games that ultimately make them better games more saleable, and will generate more revenue. So we did that. He also needed to build out a bigger team. It was quite a small team. So we've been building that team out. And then, the other decision was to actually go back and do more certifications. So that obviously puts more time on to each game. But again, it will get us better distribution in the long term, easier to sign deals, and lets us go globally. And so, we've gone back now, whereas first, we were just working on a GLI-19 certifications. You can see at the top, we've now gone back and got UK MGA GLI-19. And then they're all pre-certification checked for New Jersey as well, which would open up the U.S. So the first four have already gone through all that. Crash Heist doesn't need to go through those. It's a crash game. So it doesn't need the same certifications. And then you see the rest of the games that are going through various stages right now, either our own completion of QA or in some stage of getting tested. So the now available covers the top four and Crash Heist. And those are available in the Ear  platform and on Vamos now. And then, we'll be moving on to Money Line and our other partners. So the Ear was the first aggregator deal we did. You know, it served us in terms of us being now able to show that we can push our games into other people's RGSs, which are the Remote Gaming Servers. And that's a requirement that we need any aggregator. They haven't got wide distribution yet, which has been disappointing. We're not totally happy with the distribution the Ear's done on those. So we're pushing on that. But those games are in the platform, and on our sites. And the other ones will be pushed out as they get through the additional testing. But we were able to sign Pariplay, which is a much larger aggregator. And we're very optimistic about what that'll do when those games go into Pariplay. That was a reciprocal agreement. So we agreed that we would incorporate Pariplay into our platform. So into Chameleon, and it's now done. So that was the first step. So we have Pariplay games into the Chameleon platform, which we can now open up to partners if they want to use Pariplay. We're now doing the reverse now. So we're just finishing up this month putting our games into Pariplay's RGS for distribution in July. Our aim is to have the games in by the end of June, or at least the first five that have gone through the testing required for Pariplay. And then other aggregators will also require these certifications. So I'm, we're excited about getting on Pariplay. It's a much bigger platform for us, opens up a lot more operators to us. And I think we'll get a much better distribution push from that partnership. We do have more so coming in terms of partnerships, Mike visit ICE, the large gaming conference in London recently. That was really the first time he showed off to a number of partners, the full suite of games and what we're doing. Feedback was excellent. And we should be able to talk about our next deals soon. The next one will probably be reciprocal  as well. And that's one of the advantages we have and how it works well together in terms of having the B2B platform and having the studio. We just had the studio and went to get distribution probably will be would be a lot tougher. But the fact that we can go to these aggregators, like a Pariplay and say, we will incorporate your aggregator into our platform, and now it's an option for our B2B partners to turn on. In return, we need to push our games into you. So again, that's where we stand today. We are going to be doing a more fulsome update. So Mike Lee is right now working on a specifically or in an Askott Games only update video reel, which he'll be addressing all the games, the future vision of it and that. So, again, we're behind where we would have liked to have been, but we're pushing forward much quicker now with Mike on board, getting these through and look forward to getting up on Pariplay.
Prit Singh: Perfect. Thank you.
Scott Burton: Probably a bit long, sorry.
Prit Singh: No. It sounds good.
Scott Burton: And do you want to hit play? It'll take a minute.
Prit Singh: Sure.
Scott Burton: Okay.
Prit Singh: Great.
Graeme Moore: Yes, so again, stay tuned for a larger presentation that we're working on now.
Prit Singh: Yes, so next question moving on to the B2C segment McBookie produced outstanding results in 2021 have started this year with a strong performance in January across its sportsbook and casino channels. How has McBookie performed during the remainder of the first quarter of Q1, 2022.
Scott Burton: Darius you want to address that?
Darius Eghdami: Yes, I can do that. I think Graeme mentioned that was actually the best quarter for McBookie in its 10 plus year history. So very encouraged by the results both across the sportsbook and the casino was over 1 million gross wins for Q1, which was great. It was a big day for the platform today Scotland's playing Ukraine, just about like I think an hour so winner gets a spot at the World Cup. So I know the guys there will definitely be anxiously watching that game and hopefully they can get through and that will be a big marketing opportunity for us if McBookie can or I mean if Scotland can get through to the World Cup.
Prit Singh: So let's move on to kind of the outlook here for the remainder of 2022. So FansUnite itself has become a fully registered supplier and Ontario's iGaming market, has any betting operator approached the company to potentially license its proprietary betting solutions?
Darius Eghdami: Yes, yes, we've had a few. And we've got some ongoing discussions now we've kind of narrowed it down to one that that we'd like to work with. Again we, I think we are being more selective going forward on the partners. We've always had a pretty full pipeline. And we've always got discussions ongoing in various stages, whether they're dealing with commercials or showing them tech deep dives or something. So we are in talks with a potential Ontario partner and hopefully, we're hoping to be able to announce a couple of new partnerships coming up that would cover Ontario.
Prit Singh: Right, so following the acquisition of American Affiliate, is there any intention for FansUnite to expand their M&A strategy and look to acquire any other assets?
Graeme Moore: Yes, we definitely always get approached still. And I think we told people last year, we were trying to be fairly aggressive on that front. Part of the reason we did equity raising and it was a different market, then, as we all know, things have changed considerably in terms of where the market is, and pricing on stocks and the tech and gaming growth space right now. So we've put all of that on the back burner at the moment. And really just focusing in on the core pieces of the business and really driving growth there. We're even looking at reducing costs where we can across the companies now that we're fully integrated together. I think that's going to be fine. For as this year, we have so many big opportunities ahead of us in terms of some of the new deals we're looking to sign you, U.S. states opening up getting into Perry place. So I think we have enough there that we were just going to focus on that and revisit M&A, maybe near the end of the year going into the next year.
Prit Singh: Okay, so just touching base on some of the opportunities that you guys currently have. Can you provide us with some insight and where you see the biggest growth opportunity across the different segments of your operations?
Scott Burton: Yes, right now, I think some of the biggest pieces. The biggest newsworthy things are going to come from the B2B side of the business, especially around Chameleon. So not just getting Dragon Bet Live which is planned for this summer I think it's announcing some more significant partnerships on that front. So I think that's going to be the biggest one. The ones we already know about with just the affiliate side, we've already seen the growth they've had since the acquisition. But we know that just like it's organically, that's going to grow just by states opening up. So that will be big growth for us and revenue. But I don't think that's any surprise to anybody that that we're just going to grow as the U.S. expands. So again, going back, I think B2B will be our biggest piece this year.
Prit Singh: Great, as previously announced, in a recent news release, FansUnite intends to commence a normal course issuer bid, can you provide us with some more insight on how the company plans to execute this initiative and when it will begin?
Darius Eghdami: Yes I'll jump in there. So we're just finalizing our paperwork to get the NCIB.
Prit Singh: You cut a little bit Darius - start over?
Darius Eghdami: Sorry, can hear me now? No. Year
Prit Singh: Yes.
Darius Eghdami: Yes just saying we're just finalizing the paperwork, to get the NCIB registered and ready to go. So I think anytime you're dealing with third-parties, sometimes you can't move as fast as you'd like. But we're almost there. We're going to update the shareholders, once we get through that, and then we'll be there to buy up stock will be there to help support on tougher days in the market. I think, one thing to note is that, as and NCIB you do have to abide by insider trading rules. So there are a lot of blackout periods throughout the year and times where we were not able to buy stock. And I think a lot of our shareholders would like us to be there every day so just kind of making that note that we're not always able to even though we want to. But hopefully we'll get that sorted out during the next week or two, and then we'll update our shareholders once we're starting to buy up stock.
Prit Singh: Okay. Is there any plan to uplift to another exchange, whether here in Canada or in the U.S.?
Darius Eghdami: Yes, I think we definitely made our intentions clear that we like to upgrade, first and foremost here with the TSX and the main board. So we are having discussions with them. We're going through that process in constant communication with them. And hopefully there's some updates there for our shareholders in the near future as well. But that's definitely an operational goal and milestone for our board and management.
Prit Singh: Okay, perfect. Just moving on to American Affiliate Scott, can you touch based on any potential dilution as a result of the acquisition of AmAff?
Scott Burton: Yes, yes I guess to go back if not everyone's aware of the mechanics of the transaction. So we did that last year, announced it posted in November, obviously spent a number of months in that the process of getting that done. So when we did it, we got American Affiliate at a lower multiple lower revenue multiple than what the market was paying for affiliates. And to do that what we did was pay less upfront, and then build out an - I guess, an earn-out package that aligned sort of the business goals with the executive team of American Affiliate, namely, was to keep them involved and engaged for a period of time, over the next two to three years. And then focus on not just top line growth, but profitable growth, so EBITDA goals, and margin goals, they've got to maintain certain margins and EBITDA. Obviously, when we did the deal, they took stock at $0.75 which I think showed confidence in what we thought we could do together. The stock was at $0.53, I think when we actually closed the deal. And then we've just seen a decline in stock prices since that point in time, which is really changed the potential dilution, we're now obviously lower than that. So the share portion, the number of shares would go up. But what we didn't build in is we have the ability to up the amount of cash we pay and so it's really in our choice how we manage that and -- we look very closely at that. And as we go forward, we do expect the positive cash contribution from American Affiliates so we're going to have that option. There also aware of the change in the landscapes and to tap and so we're in discussions with the affiliate group on other alternatives to if we need to go that route. But for now we are very conscious of the impact of dilution and we want to minimize that where it makes sense. But we also still feel that that acquisition was a big part of what we need to do in strategically going forward. And we're still very happy with the acquisition, and we'll look to manage the dilution going forward.
Prit Singh: Perfect, for our listeners today if you do have any other questions, you can, you can still submit them to the Q&A function at the bottom of your screen. Alternatively, if you're calling in today, you can email us at ir@fansunite.com, at ir@fansunite.com. We do have a question here. Most online betting is done for mobile apps. Why do you not have iOS and Android mobile apps for any of your brands?
Scott Burton: So a lot of it is done from mobile phones, but in a lot of places is not necessarily native apps. And there's, a number of reasons for that. So you'll find most operators are going to have very good responsive design, which we do that covers, it's still web based. That being said, we are building out the native apps currently. So we added a team last year to work on native apps. It's really jurisdiction dependent where it's easy to get in. So, for somebody under a Malta license, for example, you know if they are operating multi-country, each country is going to have different views and perspectives. And the app stores may or may not allow it and a lot won't. So the first step for us is always to make sure we've got a good web-based responsive product that works on any device. And then we're now coming around with native apps. So you will be seeing some of our brands operating on native apps.
Prit Singh: And cool leave it with just the last question here for Scott, just for all the investors in the call. Any last words, what would you like to say for the remainder of 2022 in terms of expectations?
Scott Burton: Yes, no we definitely, again, appreciate everyone joining the call. And the support we've had again, it's obviously been a rough market for the last 6 to 12 months for everybody in the gaming space. We're extremely committed team, you look at the execs around have been around this business for a long time, fully committed to doing everything we can to protect and grow the shareholder value and the business. The nice part of where we're at today is that, as we mentioned, we have strong working capital. So we're in a good position there. We have cash flow positive of course, we weren't ready to get into the burn there. So in these times, like I said, we'd love to still be going crazy on the growth front in some areas. But we recognize that this time calls for a different approach and strategy. And that's why we're really focusing on our core businesses. So I know there's been a lot of concern, I've had people wondering if you know, we're going to survive. And absolutely there's, I think there's going to be companies that there in the micro-cap space that may not survive this significant downturn and the extended downturn, we will and we'll continue, look at the business daily and decide where we need to allocate capital, preserve capital as much as we can in this time. And really get these pieces of the business out so people can see that. And I think that will go a long way in bringing some confidence in what we're doing, and then that will really start to deliver. So I think people will be excited about the announcements will have coming soon and just continue to grow all the business we have. Happy to answer any other questions I think we've got our emails are there and trying to get back to everyone as quick as we can.
Prit Singh: Okay, well like Scott said, that's all the time we have. So Scott, Darius Graeme thank you for taking the time to go through the Q1 numbers, if we did not get to your question, we will email you back. There will be a copy of this recording that we will be sending out to all the attendees and everyone that registered. Okay, thank you.
Scott Burton: Thanks Brett.
Graeme Moore: Thanks, everyone.